Operator: Gentlemen, thank you for standing by, and welcome to the Fourth Quarter Production Report. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session. (Operator Instructions) I must advice this conference is being recorded today on Tuesday, 28 January, 2014. I would now like to hand over to your first speaker today, Gabriela Mayor. Please go ahead.
Gabriela Mayor: Thank you, operator, and thank you, all for joining the call for Fresnillo’s Fourth Quarter Production Report. My name is Gabriela Mayor, and I am Head of Investor Relations at Fresnillo. I would like to just make a few comments before I open up the call to your questions. Despite some headwinds in the second half of the year, Fresnillo ended 2013 in a strong position. Full-year silver production was 42.7 million ounces, including the Silverstream. We were ahead of our initial guidance of 41 million ounces. This was in large part, down to a strong performance from Saucito, which continues to prove its value as a truly world-class mine. We also made good progress in our development projects that will deliver our future growth. The Dynamic Leaching Plant at Herradura is now completed and ready for operation. We continue to make progress with both San Julián and Saucito II. And we also continue to achieve positive exploration results at Centauro Deep, Noche Buena and in other areas. Clearly gold production was impacted by the legal dispute with El Bajío community, which resulted in the closure of some capacity for the later part of the year. This resulted in a 10% decrease in production to 426,000 ounces. Last Friday, there was a court hearing into the claims brought by Ejido and their attempts to prevent the use of explosives at Herradura. We are awaiting publication by the district court of this decision within the coming days, but we see no reason why the suspension should not now be lifted. We continue to work with the Ministry of Defense which is ultimately responsible for explosive permits and we are confident in our legal position. Furthermore in 2014, we expect to continue to ramp-up Noche Buena to its full capacity. As such, we expect attributable gold production for 2014 to rise to 450,000 ounces assuming the restart of Herradura in March. We expect silver production for the year to be modestly higher at around 43 million ounces, including 3.5 million ounces from the Silverstream and [indiscernible]. And we expect to make further progress in bringing on our development projects and focusing on operational excellence, as we pursue our longer term targets of sustainable and profitable growth. Thank you for your time. And I will now like to open the call to your questions. Can I have the first question please?
Operator: (Operator Instructions) Thank you. And your first question is from the line of Roger Bell from JP Morgan. Please go ahead sir.
Roger Bell – JP Morgan: Good morning, Gabriela. Thanks very much for the call. I can see sort of implicit in the 450,000 ounce gold production target for 2014 but you’re expecting Herradura to restart in March. You have a one month delay to that. What was the sort of impact that you have roughly on the 455,000 ounce guidance. Would you be able to sort of quantify what that impact could be?
Gabriela Mayor: Thank you, Roger. Yes, we are at the moment not considering that scenario but we are analyzing all the options, and of course if this is not granted immediately, we will have an update on March 4, which is when we are going to release the preliminary announcement.
Roger Bell – JP Morgan: Okay, thank you.
Gabriela Mayor: Thanks, Roger.
Operator: Thank you. (Operator Instructions) There seems to be no further questions coming through at this stage. Please continue.
Gabriela Mayor: Okay, so thank you everybody, and have a nice day.